Operator: Welcome to the Tobii Q2 Report 2025. [Operator Instructions] Now I will hand the conference over to CEO, Anand Srivatsa and Interim CFO, Asa Wiren. Please go ahead.
Anand Srivatsa: Welcome again, everyone. Joining me today on this Q2 earnings presentation is Asa Wiren, our Interim CFO. And I'm going to walk you through some of our results and also will talk you through some of the detailed financials. Now in the second quarter, Tobii continued to execute on our communicated strategies to stay on a path of sustained profitability and improved cash flow. Specifically, at the end of Q1, we shared our intention to strengthen our cash position and to continue a strategic review to focus our business via cost reductions and portfolio optimization. I am pleased that we can clearly demonstrate progress on all of these fronts. Our free cash flow for Q2 2025 improved by nearly SEK 200 million versus Q2 2024. A significant contributor to the improved cash flow was the new agreement we signed with Dynavox Group, which included a SEK 100 million prepurchase of components. On the cost reduction front, we have achieved SEK 263 million of cash-related OpEx savings versus our Q2 2024 baseline, significantly exceeding the SEK 200 million target we set last year. These reductions have also played a significant role in the improved cash flow. Finally, as we have reviewed our product portfolio with an emphasis on focus, we have made the decision to take a onetime write-off of intangible assets of around SEK 48 million. Given all of these activities, there are significant onetime effects in this quarter, but in total, we were able to deliver a positive EBIT of SEK 24 million, and we have a positive EBIT result as well on a rolling 12-month basis. Beyond working on our financial health for Tobii in the quarter, we've continued to make progress on strengthening our product offerings. We launched our new Glasses X product, a cloud-native wearable eye tracker, our glasses product lines are the largest revenue contributor to the company today, and the new Glasses X product enables customers to accelerate their workflows in market research and training assessment. I will speak to this product more at the end of this presentation. After the quarter, in July this year, we also achieved a significant milestone achieving homologation in the European Union for our single camera DMS and OMS offering. Achieving this regulatory approval for our innovative approach into interior sensing is confirmation of the robustness of our solution and will increase our credibility when we compete for new business in the automotive segment. Now before we discuss our financial results in detail, I want to do a quick overview of our 3 business segments. Tobii is organized into 3 business segments with each of them at different stages of maturity and scale. Our expectations are that the Products & Solutions and the Integrations business will be profitable in the near term, while Autosense is still in an investment phase. The Products & Solutions business delivers vertical solutions to thousands of customers every year, ranging from university research labs to enterprises and PC gamers. In Q2 of '25, the Products & Solutions business represented 33% of Tobii's net revenue. The EBIT result for this business segment was minus SEK 59 million, which is lower largely because of the onetime write-offs we spoke about earlier. If we remove the effect of those onetime write-offs, the EBIT was largely flat year-on-year with the decrease in revenue balanced by reductions in OpEx. The Integration business segment engages customers who integrate Tobii's technologies into their offerings. This segment also includes some revenue from the acquisition that we made of FotoNation related to legacy imaging business from that acquisition. In Q2 2025, this business represented 63% of Tobii's net sales, and this business was profitable for the fifth straight quarter. The result for this quarter, as mentioned earlier, does reflect onetime effects related to the Dynavox contract. The Autosense business segment sells driver monitoring and occupancy monitoring software solution to automotive OEMs and Tier 1s. In Q2 2025, this business represented 5% of Tobii's overall net sales and delivered significant organic growth on a year-on-year basis. Again, the revenue in this business right now is largely nonrecurring engineering revenue prior to our major programs going into production. And so there is some lumpiness in the revenue profile for the business so far. The business delivered a minus SEK 28 million EBIT in Q2, which is a SEK 32 million improvement versus the quarter last year. Now I'm going to hand it over to Asa to provide more details on the financial development.
Asa Wiren: So thank you, Anand, and hi, everyone. The overview of the second quarter shows that we are continuing in the right direction. There are some one-offs to consider in this quarter, which I will come back to. Reported net sales were up by 41% and the organic growth was even higher at 54%. We reported a positive EBIT of SEK 24 million, and as Anand mentioned, EBIT positive on a rolling 12- month basis. So let's turn page and look into some details. Net sales were up by 41% in Q2, and the organic growth was 54% since we excluded the acquired revenue stream as previously explained. The nonorganic revenue stream amounted to SEK 25 million in Q2 and currency impacted revenue negatively by 4% in the quarter. Gross margin was 83% compared to 79% last year. The improvement is thanks to a mix shift with more Integrations business. A positive EBIT of SEK 24 million, an improvement of SEK 90 million compared to the same quarter last year, and I believe the graph speaks for itself regarding the trend. Our cost level is reduced and the cost savings program has delivered above target. During the quarter and as part of our strategic review, we have written down some intangible assets in total SEK 48 million, mainly in the Products & Solutions segment. The new agreement with Dynavox also had a positive impact from the prepaid purchase and the royalty catch-up. So if we then move to the next page, we can see that the cost savings program that was initiated a year ago has delivered SEK 263 million in savings compared to the target of SEK 200 million. Our cost and efficiency focus continues to be of utmost importance. If we then turn to Page 9 and take a look at the segments. For Products & Solutions, the organic net sales continued the negative trend from Q1, with uncertainty in Americas and lower demand in the gaming part. EBIT was negatively impacted by a write-down of SEK 33 million. And when excluding that, EBIT is actually flat compared to last year, even with lower sales, which is mainly thanks to our cost reductions. The Integrations segment was significantly impacted by the Dynavox deal with the prepurchase where SEK 70 million out of the SEK 100 million was recognized and delivered during the quarter and the SEK 45 million catch-up also recognized in the quarter. The remaining part of the prepurchase that is SEK 30 million will be delivered and recognized in the third quarter. The acquired imaging- related revenue amounted to SEK 25 million and this was the final quarter with that revenue stream. Gross margin decreased due to a mix change with a larger portion of hardware sales in 2025. On the next page, we find more details relating to the Autosense segment, which reports an organic growth of 44% or an increase from SEK 9 million to SEK 12 million. The business is in a phase with nonrecurring, quite lumpy and time line dependent revenue. EBIT improved heavily year-on-year by SEK 32 million, even with a substantially lower level of capitalization. And then finally, when it comes to our balance sheet and cash flow, our free cash flow improved almost SEK 200 million compared to the same period last year. Improvement is partly due to specific actions taken as agreements with customers and prepayments, but also thanks to the lower cost level. Our cash position was at SEK 150 million at the end of the quarter, and we repaid SEK 89 million of the COVID-related tax deferrals in mid-July. All in all, we continue to focus on rightsizing the business and strengthening cash flow. And thank you for your time. And by that, back to you, Anand.
Anand Srivatsa: Thank you very much, Asa. Now I'm going to speak a little bit on where we are in Autosense and also give you a quick introduction into our new Glasses X product. Let's first start by talking about Autosense. Once again, as we talked about quarter-on-quarter, we believe that we are starting to demonstrate our ability to be a leading provider of interior sensing solutions. A critical aspect of building credibility in this space is showing that your technology can get through the rigorous testing and validation of OEMs and start shipping into vehicles on the road. Tobii's Autosense interior sensing solutions have been shipping in vehicles on the road since 2019, and we continue to see significant growth in this footprint. As of the end of Q2 2025, we have more than 775,000 vehicles on the road with Tobii Solutions, and we expect to see this number continue to accelerate as our high-volume passenger car wins get into production in the second half of this year. Now in addition to building credibility with having our technology on the road, we have also talked about demonstrating credibility of our innovative Lens platform. And in July of this year, after the end of Q2, we achieved a significant milestone with homologation of this particular platform. Now we have been describing for several quarters that there is an evolution currently underway in the interior sensing market. The first set of technologies that have been deployed in interior sensing are driver monitoring systems. And the focus of this technology has very much been about improving safety. Since 2021, we have also seen the adoption of occupancy monitoring systems, which can both address some safety-related features, but also improve the user experience in the cabin and enable OEMs to offer a differentiated experience for owners of their vehicles. These 2 systems, DMS and OMS, have typically relied on fully separate cameras and compute platforms in order to be delivered. Tobii's single camera DMS and OMS system enables a much lower cost overall deployment by using only 1 camera and compute to deliver a feature set that meets the regulatory safety requirements that are required for DMS. And at the same time, enables OEMs to deliver value-add and differentiated features that improve the user experience in the cabin. Over the last year, we've talked about the progress we have made in this SCDO program with a premium European OEM. We've talked about the fact that we've delivered numerous releases thus far and that our program has achieved ASPICE Level 2. In July, we achieved the next major milestone, which was the achievement of homologation or regulatory approval for our single camera solution. Getting to this milestone is a critical proof point that our SCDO solution meets the regulatory requirements and getting past this milestone will enable us to better compete for future business with this disruptive approach. The program that we're currently engaged on with the premium European OEM is expected to start shipping in the second half of this year. Now let's shift and talk about our Glasses X product that we are super excited to also bring out in our Products & Solutions business unit. So in addition to the focus that we've talked about around Autosense and strengthening our product portfolio, we have continued to sustain investment in the next generation of products across the Tobii family and in June -- and in May this year, we actually announced the next generation of our wearable eye trackers for Products & Solutions. Wearable eye trackers from Products & solutions are the single largest revenue contributor to Tobii overall today. And the product we have in market right now is called the Tobii Pro Glasses 3. The Pro Glasses 3 product sets the standard for high fidelity eye-tracking and is used in both academic research applications as well as commercial applications. One consistent message we've heard from commercial customers is that while the value of eye tracking and helping drive business outcomes is well understood for market research or even training and assessment use cases, the current workflow is too time consuming and cumbersome. And this is where our new Glasses X product really shines. It is an easy-to-use cloud-native solution that when paired with our Glasses Explore SaaS solution will accelerate our customers' workflows. The Glasses Explore SaaS platform can harness the latest innovations in AI to automate time-consuming activities like metadata tagging and shorten the time to insight. For our commercial customers, this means quicker and cheaper access to critical insights that can improve customer experience, employee training, quality assurance and ultimately, profitability. I'm super excited about this product, Glasses X, as I expect that it will enable us to scale our footprint of wearable eye trackers from technology enthusiasts to the broader set of users who can truly benefit from the power of eye tracking. I believe that this new product and platform is a critical element of our path to growth in the Products & Solutions business unit. Now let's summarize the quarter and wrap up. In Q2 of 2025, as we said before, we have executed on several of our stated strategies, and I'm proud of the progress we have made overall. We intended to strengthen our cash position with working -- by working with our customers, and we've done so. We expect it to continue the focus on cost reductions, and we have substantially exceeded our SEK 200 million target. By taking these actions, we have seen a nearly SEK 200 million impact in free cash flow compared to the Q2 2024 quarter. The actions we've taken have enabled us to deliver an EBIT profitable Q2 and help Tobii be profitable on a rolling 12-month basis. While we have worked on improving our financial results, we've also strengthened our product portfolio, particularly in Autosense and in the Products & Solutions business unit. These product investments are critical to help us achieve our longer-term financial objectives. We recognize that the results in this quarter are impacted by onetime effects, and we expect that as we go forward, there will be variation in the results of individual quarters; however, we are determined to continue our efforts to stay on the path of sustained improvement and build on the solid results of the first half of this year. With that, I'd like to open it up for questions.
Operator: [Operator Instructions] The first question comes from [ Björn Engvall ] [indiscernible]. Are you still confident in reaching #1 position in DMS and OMS interior sensing? And if so, when could that be achieved, do you think?
Anand Srivatsa: Thank you for the question. Again, our ambition very much is to be the leader in this interior sensing space, but we recognize that today, we are very much of a challenger. Our expectation is to try to get to a leadership position by the end of the decade. And in order to go and get there, we've talked about the fact that we need to build credibility in the offerings we have in the market. And again, today, we talked about 2 elements of that. One part of it is to demonstrate that our technology is robust enough to get to vehicles on the road, and we have been doing that with our driver monitoring and occupancy monitoring system solutions. We have more than 775,000 vehicles on the road today. One of the big things that gives us confidence in our ability to go in and close the gap between us and our competitors is this innovative approach on single camera DMS and OMS, which we think is going to be a very cost-effective way for OEMs to deliver both the requirements for regulatory approval, but also to deliver differentiated feature sets. And again, hitting the milestones that we have on this program is extremely critical to build credibility that we can close the gap and become a leader in the space. We have done some of that from a quality control perspective, achieving ASPICE Level 2, which we did in Q1. But again, the critical milestone is achieving regulatory approval, which we have now done so, and we look forward for this program to get into production in the second half of the year. Again, I think that the progress we've made, I think it's very much in line with our expectations, and we hope that this will transition very much to new business won and put us on our path to getting to leadership in the space by the end of the decade.
Operator: All right. And the second question comes from [ Kevin Bucher ]. Could you clarify if Tobii is currently pursuing any collaboration or major deals with leading technology or automotive companies. For example, in robotics or auto -- I'm sorry, autonomous driving such as with partners like Tesla or Microsoft?
Anand Srivatsa: So again, I think that we don't specifically talk about individual customers that we're engaged with. But given sort of Tobii's position in this space, we are working with all of the leading technology providers in the different vertical industries we're engaged in. Again, on the automotive side, as we build more and more credibility, we expect that more of the leading players in the space are going to be aware of the solutions we have and have credibility to source us for future programs. So you should absolutely expect that we are talking to the industry leaders in the space, but we don't specifically comment on exactly who we're talking to at this point in time.
Operator: And the next question is from Björn Engvall again. Can you comment on the IDC recently forecasted XR market growth of 86% from 2025 to 2026. What could it mean for Tobii's integration XR growth? All things equal, what about smart AI, AR glasses market in the future, will Tobii benefit from it?
Anand Srivatsa: Thank you again for the questions. Now again, I think what we have seen in the overall augmented and virtual reality space is that this market is very dynamic, and there have been a lot of expectations of growth that haven't always materialized. At the same time, today, there is still continued excitement in the space. What has been, I think, set up in the market is the fact that the use cases for eye tracking are quite strong, both in the virtual reality space. If you look at the benefits that eye tracking can bring in terms of user interaction in these virtual environments as well as the ability to go and drive much lower levels of graphics need while still providing immersive experience. We also see that as new form factors come in, whether these are smart glasses or augmented reality, there's a significant opportunity for eye tracking to create value around new use cases like Contextual AI, the opportunity for AI to provide meaningful insight, understanding what the user is looking at in the environment. So I think fundamentally, as these categories grow, the opportunity for eye tracking grows. And I think naturally for us, as a company that's leading in the space, the more companies that are engaged, the more units that are out there, the more significant our opportunity is to grow our business from where we stand today.
Operator: Okay. And the next question comes from [ Adelson ]. Congrats to great quarter again. About XR integrations revenue, are you receiving licensing fees steadily now? Or is it mostly NREs?
Anand Srivatsa: So I think we've talked about the fact that the combination in the integration space is still both NREs and licensing revenues. One of the challenges I think we have had overall is that some of the programs that we have engaged in have not materialized to the level of volume we would expect. A notable element of this, for example, is the win we had with Sony PlayStation VR2. Historically, we would have expected that at this point in time, it would be a much bigger contributor from a license revenue perspective, but with the weakness we've seen overall in the VR market, those volumes have not materialized. So we're still in a camp now where it's a combination of license revenue and a lot of nonrecurring engineering revenue in there.
Operator: And this next is from Jacob. Just to make sure, will the SEK 25 million in FotoNation revenue disappear completely in Q3? And what are the gross margin and OpEx related to that revenue stream?
Anand Srivatsa: So we've talked about the fact that we had a revenue stream that we got from the acquisition that was going to be temporary in nature. This was the last quarter of that revenue stream that we received. And so yes, going into Q3 and beyond, that revenue stream will not be there. This is a revenue stream that's quite special, it doesn't drive OpEx investment from our side, and it is a 100% margin type of revenue stream.
Operator: And the next question comes from NK. Do you plan to expand your solution to more cars starting 2025?
Anand Srivatsa: Absolutely, our intention is that we have to go and win new business. We are participating in many RFQs. We have seen delays in decisions around RFQs in the first half of this year; again, the automotive industry is going through some churn at this point in time. But we feel that as we demonstrate more credibility with our solution and getting through milestones like homologation, it will put us in a better position to win new business with this approach. And we're absolutely focused on trying to go and compete and win for new businesses and expand our solution to new customers.
Operator: Okay. And the next question comes from M. Is royalty for Dynavox in Q2 a one-off?
Anand Srivatsa: So the business structure with Dynavox steady state includes a component associated with hardware purchases, but also component royalties. So that will be steady-state of portion of the Dynavox revenue going forward, so we expect to receive that in Q3, Q4 and beyond all the way through 2029 into the program we have -- into the agreement we have now extended with them. However, there is an element as we've gone and changed our agreement with Dynavox where there was a catch-up of royalty related to hardware that had already been acquired and that is the onetime impact that we see in Q2 of SEK 45 million.
Operator: Okay. And the next question comes from [ Hamish Adam ]. There is a boom emerging in robotics. It strikes me that Tobii's Tech could be very relevant in this field. Could you speak to any developments for Tobii into this field?
Anand Srivatsa: So I would say that, again, we believe very strongly that technology, in general, needs to communicate with humans on human terms. And the ability to go and drive nonverbal interactions the way humans communicate with each other is, I think, the most natural way for technology to evolve. So to the extent that we are going to start to see robots amongst us, whatever their form and shape, I think the expectation is going to be that these technology innovations will communicate with humans the way we communicate with each other. So again, it's still very much the early phases of this industry from a robotics perspective like it is in other spaces. But again, this is another industry where I do think that the solutions that we bring to market could have a lot of value.
Operator: Okay. And here comes 4 questions from Daniel Djurberg. I read them 1 question and then you answer, and then 1 more. How come you have 100% gross margin in Autosense? No COGS for any customer deployments/projects in the quarter.
Anand Srivatsa: So I think the way that we deal with the engineering cost is on OpEx here, Daniel, so that is how we're managing the cost line from an Autosense perspective. Also, if you remember from an actual product perspective, the solutions that we sell are software only. And so that's why the structure of the margin is in that type of setup.
Operator: And he also asks, can you comment on the incremental numbers of added OMS, DMS on the road in Q2 versus Q1?
Anand Srivatsa: So I think if you look at what we said in Q1, we were about 700,000 units on the road. In Q2, we said 775,000. So it's a 75,000 net type of number, that's sort of where the incremental number is.
Operator: And he also asks what is the target by year-end? Please also comment on the pricing in the single camera, the ASP versus a traditional setup?
Anand Srivatsa: So I would say that, again, we don't have a specific target for where we are on the deployment by the year-end. But again, we're going to start to see our solutions start to get into higher volume vehicles with this premium European OEM, and we think that will actually drive the volume of our deployments up substantially. Again, specific commentary on the second half of the year, I think is very much premature. We get these numbers from our customers on what they've deployed. So you should expect that we will continue to provide you with where we are in deployments at the end of the quarter.
Operator: All right. And the last question from Daniel, how many design wins do you aim for in H2 '25 with a single camera? Finally, comment on your USP with competitors with a single camera.
Anand Srivatsa: So again, I don't think we have a specific target that we are going to share with you; again, our ambition is very clear. We want to be a leader in this space, which means that we have to, of course, win additional design wins and scale beyond our current customers. We think that a significant part of being able to go win that business is demonstrating the credibility we have so far of getting products on the road and being able to go and get to regulatory approval on single camera, DMS, OMS. When we talk about the unique selling points, again, I think single camera DMS, OMS as a technology is quite disruptive in terms of the ease of integration, the ease of sort of the integration program needed for an OEM to deploy the full set of features. There's also the cost savings in terms of being able to go to a single camera and a single compute platform rather than having 2 separate systems that drive them. And increasingly, as regulatory frameworks like NCAP require focus on occupants as well for some of the safety- related points, the need to deploy DMS and OMS becomes more significant. So I would say that, that USP for our end customers is very much around simplicity of integration and lower system cost. And that's what we believe is going to drive the market towards single camera DMS, OMS. I think for us, in the solution, I think we can demonstrate that we have a very high-quality and robust single camera DMS, OMS. We have delivered this in a scheme where we are effectively a Tier 1 to a major OEM. So the robustness of our solution, I think, is quite high. And I think getting to homologation is a major milestone as well, which I think will mean that for many people, this is a low-risk path to go and choose Tobii.
Operator: Okay. And this next question comes from Jacob. How should we think about the cost base, including CapEx for H2 compared to H1? Will it go down or remain on the same levels?
Anand Srivatsa: Asa?
Asa Wiren: So we're continuing to sizing our staffing, and we took additional actions in April and, of course, we are continuously working with lowering our cost base. So yes, one could expect lower cost during the second half of the year; however, we have chosen not to quantify at this moment. And I don't know, Anand, if you are going to -- if you can give some flavor to the CapEx.
Anand Srivatsa: No, I think you answered it absolutely correctly. Again, we are determined to stay on this path of improvements in profitability, and we think that working and maintaining our focus on the cost base is a critical part of that.
Operator: All right. And the next question comes from [ Mart ]. What is the share of global market size in the interior sensing that your solution addresses?
Anand Srivatsa: I would say that today, we have the full sort of technology set in terms of addressing the interior sensing market. We have a DMS solution that has been homologated in the EU, that has been shipping in commercial vehicles since 2019. We are the first company in the world that is shipping an occupancy monitoring system starting in 2021. And now we have a single camera DMS, OMS offering that is getting ready for production to 2025. So I would say that we are largely able to address all of the interior sensing opportunities. If you think about what drives the growth of interior sensing versus the overall automotive market as a whole, I would say that it's driven very much by regulatory demands in the EU, which really come in 2026, but also the need to have driver monitoring paired with higher levels of autonomy to ensure that the driver is paying attention to the task of driving what would be considered eyes on hands-off type of driving. So these are 2 major trends that drive the need for interior sensing into the larger automotive market. And again, we think that we can address most of those use cases already with the portfolio we have now.
Operator: And the next question comes from Jacob. Was the additional SEK 45 million in royalties from Dynavox received in cash this quarter? And is that included in the 12% underlying organic growth? And can you give some color about the SEK 45 million royalty?
Anand Srivatsa: So the SEK 45 million in royalties, we recognize the revenue. The cash is not included in the quarter so far. I'm not sure that I understand the 12% underlying organic growth. But again, we have said that when we look at what makes up organic growth, we would say that it is part of our sustained business and Dynavox is very much part of that. Typically, what we remove from organic growth is currency effects. And we've also said that we were not including the onetime nonrecurring revenue that we got from the acquisition. So everything outside of that special revenue stream as well as currency effects is included in the organic growth. In terms of giving some color on the SEK 45 million royalties, as we said, our business setup with Dynavox includes compensation for hardware components and component royalty. That will be part of our ongoing engagement with Dynavox in the new setup. But as we have changed the setup, there was some catch-up of royalty related to hardware that had already been acquired and that is the effect that we see in Q2.
Operator: And next question comes from NK. Are you looking at expanding into commercial vehicle space, especially autonomous trucks?
Anand Srivatsa: So again, we have our solution targeting commercial vehicles already in some cases, so we have been shipping driver monitoring systems in Japan into commercial vehicles. We received homologation for our DMS solution with the commercial vehicle earlier this year in the EU. So very much commercial vehicles are part of our focus from a driver monitoring setup. Now in terms of autonomy, in general, there is a need for driver monitoring coupled with higher levels of autonomy. So as trucks get to more autonomy, if there's still the expectation that there's a driver in the truck, we think that, that will increase the need to have driver monitoring systems in there beyond where the regulatory approval or the regulatory demands are clear. So we would say we are already addressing that and we'll continue to do so.
Operator: And the next question comes from [ Cal ]. Could the interior sensing part of Tobii become a new Dynavox?
Anand Srivatsa: I'm not sure if I fully understand the question, but again, we are organized into 3 separate business units at this point in time. The Autosense business we've talked about, we have completed the integration of the acquisition we have made so far. And again, we believe that this can be a strong growth driver from a revenue perspective, and we think that this is something that we believe in the long term creates a lot of value for Tobii.
Operator: And the next question comes from Justin. What is your expectation on percentage of royalty revenue stream contributing to overall sales revenue volume?
Anand Srivatsa: I'm not sure how to answer this question specifically, I would say that, again, when we look at the different revenue streams and the different business units, they are quite different in nature. Our Products & Solutions business, for example, is sold largely in many cases, as a hardware purchase, typically at quite high ASPs. There are elements of software licensing there as well. There are different setups in the different business units, so I would say that this is a difficult question specifically come out with a percentage here going forward. And again, we don't typically provide this kind of guidance either.
Operator: Okay. And that was the last question. So I'll hand it back to you, speakers, for any closing comments.
Anand Srivatsa: So once again, thank you, everyone, for joining and giving us your questions. I'm very pleased with our Q2 report in the sense that it continues the progress we have said that we are going to focus on, improvements in profitability, focus on cost, improving our cash position. I think we continue to execute on our strategies as we've stated for them, and we are determined to continue to stay on this path of sustained improvement and to build on a solid first half of the year. Our next report will be released on October 22, 2025, and looking forward to seeing you then. Thank you very much.